David Boshoff: Good morning, everyone, and welcome. I'm David Boshoff, and with me is our CFO, Steve Fewster. We're pleased to be joining you today for this December 2025 quarterly update. You'll notice that we're both in our harness today as we'll be traveling to site directly after this call. Before we get underway, I'd like to mention that today's presentation should be read in conjunction with our December quarterly report, which is available on our website. As we move through today's session, please feel free to add your questions to the live Q&A tab on the right side of the screen. I will be responding to these questions at the end of the session. As we step into the new year, it's a good moment to reflect on the December quarter, not just on what we've achieved, but on how we've achieved it. The quarterly -- this quarter delivered solid progress with strong tangible momentum across operations, construction and financial performance. And that progress is underpinned by our values, which guide our decisions, shape our culture and influence the way we work with our partners and contractors. That brings me to our find a way value. I'd like to recognize one individual who truly embodied it. Thomas Huckstadt is an application specialist in our IT team. Tom delivered the first phase of our Mardie operating system on time, on budget and to scope. He successfully managed key contractors to implement the Mardie production reporting system and our laboratory information management system. When traditional delivery models threatened time lines, Tom adopted an agile approach to accelerate implementation. And in fact, the contractor has confirmed that this was likely one of the fastest implementation in their history. I'll speak more about the Mardie operation system shortly, but I want to begin by acknowledging Tom and recognize the values-driven approach of our people. And that values-driven approach is exactly what underpins the business we are building at Mardie. Mardie is already Australia's largest solar salt operation and the third largest globally. Our focus is clear: Delivering salt to our customers later this year and providing -- and proving up SOP as a next major revenue stream. Salt is now in operation and is set to ramp up to 5.35 million tonnes per annum. With its scale, coastal location and integrated port infrastructure, Mardie is exceptionally well positioned to meet rising demand across Asia. Our SOP pilot work is also progressing well and remains on track to support a production pathway targeting around 140,000 tonnes per annum. This represents an opportunity to leverage our investment in the salt business to produce made in WA value-add products. The port provides us connectivity to our customers, along with additional upside through its spare capacity, creating potential for third party revenue and strategic partnerships over time. Now I'd like to walk you through the highlights for this quarter. In safety, we continue to strengthen key fatality prevention controls and maintained our focus on field leadership, completing more than 400 Leadership in the Field safety interactions. We also completed 290 critical control verifications, and our 12-month rolling average total recordable injury frequency rate was 3.9. We continue to actively manage the complexity of concurrent activities and project activities on site for operations and projects. As mentioned earlier, we deployed the mine production reporting system and the laboratory information management system as part of the Mardie operating system. This, along with our digital twin that we call Poseidon enhances operational visibility and control, enabling us to make timely, data-driven decisions. Brine levels across ponds 1 to 9 remained in line with our operational targets. The pond brine density continued to increase as we have forecasted. Construction is also progressing well. With the project now 77% complete, we commence seeding the primary crystallizers, and progress is tracking to plan. Major earthworks for the salt wash plant, stockyard and nonprocess infrastructure were also completed during the quarter, readying us for construction of these 3 assets over the next 3 quarters. Significantly, another reflection on our Find a Way value, we secured all our primary approvals for the offshore placement of material from the dredging program at the Port of Cape Preston West. This is a key milestone for our port infrastructure, which also significantly derisks achieving our construction budget. Finally, we commissioned all the KTMS trial crystallizers as part of our SOP piloting work, achieving steady-state operations and performance in line with our expectations. I'll now hand over to Steve who will walk us through the corporate highlights.
Steve Fewster: Yes. Thanks, David. With construction remaining within budget, BCI continues to be in a strong financial position. During the quarter, we drew $99.8 million from the syndicated debt facility. That takes total debt drawn at the end of December to $446.8 million. We also issued over 50 million new shares following the conversion of the Series 1 convertible note held by AustralianSuper Pty Ltd. And consequently, that reduced our borrowings by $29.1 million. We'd like to thank AustralianSuper for their ongoing support. On the corporate front, we formalized the 2-year capacity building program with Wirrawandi Aboriginal Corporation, and Dave will share more about that later on. I shall share more on cash flow shortly, but Dave will provide a more detailed update on our operations.
David Boshoff: Thanks, Steve. Operational performance remained strong this quarter with ponds running at 96% utilization across more than 9,300 hours. All pond levels continue towards operational height, and brine density continues to increase in line with forecast. As you can see on the chart, we are -- we've got a marker there for 31st of December, and it's within the range that we predicted 2 quarters ago. Our focus is now on balancing density across the pond network as we progress towards crystallizer readiness. Key technical milestones were also achieved, including calcium carbonate ceiling in pond 6, gypsum formation across the ponds, that is, pond 7, 8 and 9. This process materially improves water retention, remove contaminants and are critical to achieving steady-state brine flow and high-quality salt production. We also welcomed the arrival of brine shrimp in pond 7. Brine shrimp helps to naturally clear nutrients and support salt quality. Looking ahead, Poseidon, our model, indicates that pond 9 is expected to reach target density in February, and this keeps us on track for first salt on ship in the December 2026 quarter. We're continuing to make good progress towards our construction milestones with cumulative expenditure totaling $1.043 billion. As we stated in September quarterly, activity during December was relatively lower, reflecting the completion of several large packages. We expect activity to pick up again this quarter as we now work on the salt wash plant, crystallizer sealing and dredging packages. Seeding of the primary crystallizer has also commenced with liners creating a safer, more predictable harvest environment and eliminating seepage. Brining began in November and remains on track with the first crystallizer cell scheduled for completion in February. 3 crystallizers lift stations were also completed during the December quarter, ready for commissioning of the transfer of high density brine from pond 9. Major earthworks for the salt wash plant, stockyard and nonprocess infrastructure were also completed, enabling concrete works to commence early this year. Engineering and design for the salt wash plant continues with major procurement items in the fabrication phase. The nonprocess infrastructure contract was awarded in December, and design work is now underway. Approval has also been received for the remaining section of the Pilbara Port, and that construction has also commenced. At the Port of Cape Preston West, construction of the marine packages progressed with electrical and mechanical installations advancing, and the overall completion is now 94%. Now that BCI has secured our primary approvals for offshore placement of dredging material in December, dredging of the berth pocket and navigation channel is expected to begin in April 2026. Steve will now take us through the financial highlights.
Steve Fewster: Thanks, David. Total construction costs now sit at just over $1 billion, having spent $41 million during this quarter. The largest packages of work remaining include dredging, the balance of the crystallizer lining and the salt wash plant. Other than long lead items that have been ordered for the salt wash plant, these packages will be funded from the $351 million in uncommitted funds that we have. The progress made on these 3 major construction areas supports our confidence of remaining on budget. As mentioned earlier, we drew $99.8 million from our syndicated debt facility during the quarter. At the end of the quarter, BCI had available liquidity totaling $601 million. With construction costs at just over $1 billion and our pre-revenue operating expenditure of around $255 million, BCI has invested almost $1.3 billion in the Mardie salt operation. With approximately $400 million required to complete construction and available funding of $601 million, we remain fully funded to complete construction as well as meeting the working capital needs through ramp-up. To date, we have also successfully completed 8 drawdowns totaling $446.8 million. I'll now provide an overview of what we're seeing in salt market. The market fundamentals remain strong. While some Chinese chlor-alkali producers are seeing softer short-term demand due largely to a slowing in the real estate growth and domestic consumption, the medium-term outlook across Asia remains positive. India is the largest exporter of lower-grade industrial salt to China. And across the last 5 years, we've seen India export volumes expand from 12 million tonnes to a peak of 28 million tonnes in 2024. In 2025, however, Indian export volumes have pulled back to 26 million tonnes. Our expectation is these volumes will further reduce as the Indian chemical industries expand to supply their local market. The reason we remain confident about the outlook for high-grade industrial salt is that between now and the end of 2028, there are 16 new chlor-alkali and soda ash plants under construction in India, China and Indonesia. A proportion of this new Asian production is replacing chemical plants that are closing throughout Europe. These 16 new plants are forecast to increase demand for high-grade industrial salt by 10.2 million tonnes per annum. And this timing coincides nicely with the ramp-up at Mardie. So across the period, there is only 6 million tonnes per annum of new supply coming into the market, and that includes Mardie. The Port of Cape Preston West is a strategically valuable asset for BCI and the region. This is a multiuser port designed to expand and to export around 20 million tonnes per annum of bulk commodities such as salt, SOP and iron ore. At nameplate capacity, Mardie salt-only operational needs of around 5.5 million tonnes per annum, leaving approximately 14.5 million tonnes of surplus capacity. This presents a real opportunity to support other proponents in the West Pilbara who require access to port infrastructure. Pleasingly, BCI has received inquiries from potential third-party users in the region. By the end of 2025, construction of the marine package have progressed well with electrical, mechanic and the mechanical installations advancing. Remaining works now include the final piles and [ cat walk ] which is scheduled for completion in September 2026. During late September, BCI secured all primary approvals from the Commonwealth and state governments enabling offshore placement of material from our dredging program in line with the optimized dredging methodology. Subject to final approvals, including management plans and contracting -- contract finalization, dredging is expected to commence in April 2026. Thank you, and I'll hand you back to Dave to talk about SOP.
David Boshoff: Thank you, Steve. SOP, or sulphate of potash, is a key product of our salt operation, an important revenue stream for BCI in the future. SOP is a high-value premium fertilizer. This is different to the more common muriate of potash, or MOP. Unlike MOP, SOP contains sulphur as well as potassium, making it ideal for high-value crops such as fruits, vegetables and nuts. It plays a key role in improving crop quality, yield and food security, particularly in regions with nutrient-depleted soils. During the December quarter, all KTMS trial crystallizers were fully commissioned, achieving steady-state operation and performing in line with expectations. This work is a key part of BCI's piloting approach, enabling us to refine processes, validate operational performance and derisk full-scale SOP production. Batch plant testing completed during the quarter has allowed us to finalize the pilot plant scope, and preparations are now underway to award the design package in this current quarter. This marks a major step towards construction and delivery of that facility, positioning BCI to unlock the value of SOP production alongside our salt operations. While our focus remains on safety -- safely ramping up our operations and completing construction, we continue to prioritize sustainability. This included -- in this quarter, this included monitoring our mangroves, sandfire and algal mats, marine turtle monitoring and migratory shorebird surveys to name just a few. We convened a co-designed workshop with the Wirrawandi Aboriginal Corporation to update our indigenous engagement strategy, ensuring alignment with their strategic priorities. We also formalized a 2-year capacity building program with Wirrawandi, providing $480,000 to strengthen governance, systems, financial management, leadership development and succession planning. On the community front, we established a new partnership with the Karratha Kangaroos Junior Rugby League. As a big rugby fan myself, this is especially exciting opportunity supporting youth sport and well-being in our region. As we close out this quarter, we do so by consistently applying our values and finding a way. We are well positioned to respond to forecast salt supply shortfalls in face of rising global demand, while creating sustainable multigenerational benefits for our shareholders, local communities and the broader Australian economy. This brings us to the end of our presentation, and we'll move to questions now. If you haven't already, please submit your questions in the live Q&A tab on the right side of your screen. Thank you.
Unknown Executive: Thank you, David and Steve. Now I'll take the first question and pose this one potentially to you, David. Besides salt and SOP, are there any additional minerals that can be extracted from Mardie?
David Boshoff: Yes. Thank you for that question. There are certainly numerous other products that are being extracted by other producers that uses sea brine as their primary source. We visited facilities that produces bromine. Actually numerous facilities use bromine as one of the products. We've also seen magnesium being produced in various areas. There's also a very good data that indicates pharmaceutical salt is a good potential to produce from seawater salt. So certainly, multiple other streams that provides a revenue upside for BCI and where we've already invested significant capital in our infrastructure at our site.
Unknown Executive: Thank you, David. And just building on that, you mentioned earlier our progress on SOP. How confident are you in SOP based on the batch testing data received? And are there any learnings you can take away that can feed into the design of the pilot plant?
David Boshoff: Yes, certainly. The -- as I mentioned during the presentation, the KTMS testing results so far has been exactly as to expectations. The key thing that we have to manage is on the trial ponds. We, of course, manage the chemistry. The laboratory information management system that I mentioned earlier is a very important ingredient, and we spend a lot of effort in setting up the lab to be able to test for chemistry properly. This is a key input that we've taken from some of the design partners that's helped us to set it up. And I'm very comfortable with where we are with the results. We have now also received test results back from our high temperature tests, both in China as well as here in Perth. And it's pleasing to see that the particular collectors that we are selecting to be able to do so performs well at temperatures well above 50 degrees Celsius. This is a key thing that I wanted to be sure of before we start into design phase for the pilot pond.
Unknown Executive: Thank you, David. Now Steve, I've got one here for you about the port. Are you in a position to talk to the level of interest in the surplus port capacity? And if so, can you tell us a bit more about the revenue potential from this asset?
Steve Fewster: Yes, thanks. So as I mentioned earlier, we certainly received interest in accessing the port. Those parties are looking at developing iron ore projects in the region. Our port is relatively close to where they're proposing to build their iron ore operations. And certainly, on a distance -- from a distance perspective, we're a lot closer to, say, the Ashburton Port and certainly a lot closer to their -- where they propose to have the operations compared to Port Hedland, if they can even get capacity or access at Port Hedland. So there's a couple of steps that they'll need to go through. They'll need to get their approvals in place, get their funding in place. So the interest is there, but I think that the critical part is without a port solution, they don't have a project. And the ability to get the product from the Pilbara, be able to mine it and then get it out through a port, we will play a critical role in opening up that area of the Pilbara where there's still a lot of high-grade, high-value iron ore deposits that are sitting with some of those junior players. So I think what we'll see is we'll have, probably not in the short term, probably not over the next 1 or 2 years, but as we look a bit further out, as companies are finalizing FID, we'll become much greater part of those conversations. In terms of revenue stream, we still need to work through what our pricing will look like. And in the past, what I've suggested is the Port of Ashburton, their [ considered ] rate is around [ $9, $10 ] for a tonne of bulk commodities to go through their port. That's one data point. We would need to look at the size of the investment we've made and make sure we get a reasonable return on that investment before we sort of set any pricing targets.
Unknown Executive: Thank you, Steve. I've got a question here on BCI's longer-term plan. So does BCI have any plans to add additional salt ponds in the tenements held by BCI to the north of the current site?
Steve Fewster: Thank you for the question. We have a number of leases that is available that we've already established in the last 12 to 28 months. Most of these leases are to the south, so between us and the Ashburton Port. There's some area to the north, but we are bordering up with an iron ore proponent just north of us. So there are certainly options available very close to as part of the Mardie project. These areas will require additional environmental approvals and will require, therefore, additional management plans such as groundwater management plans to be approved. So while this will be in our future thinking, what I would caution is that these things do have a long lead time as we've seen with the actual Mardie port so far -- Mardie operation so far.
Unknown Executive: Thank you, David. Now back to construction progress. Can you talk to the build package for the salt wash plant? Tell us a bit about the complexity of this work package? And what's the time range for build and commissioning?
David Boshoff: Well, so the salt wash plant, as I mentioned in one of the slides, we have completed all the earthworks that has started late last year. That's all done. We've already awarded the concrete package. So that's for all our concreting works for footings, floors, blinding work, all of that has already been commissioned, it has already been awarded. Fabrication is currently underway for all the rebar and reinforcement, and we expect batch plant and other works to be established in the coming weeks on site. At the same time, design has progressed really well on the main, what we call SMP works, the structural, mechanical and piping. We are expecting to award the fabrication of the actual main structure in the coming month or so. And then that will go into construction. And then eventually, of course, E&I, that's electrical and instrumentation, that will be the back end of that process. That package will be -- that package is still a fair few months away. Expectation is that we will start commissioning in perhaps late October. That will depend, of course, on when our salt is available to be able to go through into November and be ready for production in November for shipments in December. So all of those time lines are lining up, and the progress on the salt wash plant construction package is very much on track.
Unknown Executive: Thanks, David. Now talking about on track. I've got a question here about operations. So over the recent years, the area generally experiences a fair bit of rain during March and -- through March to May. Assuming Mardie does experience rain during this period this year, are there any potential impacts to brine density, particularly in pond 9? And then if there are, is there any impacts to the FSOS, that time line?
David Boshoff: Yes, certainly, the area experience cyclones. Our model, I mentioned earlier Poseidon, actually integrates the weather model and has used the last 45 years of actual weather data to model what the likelihood is of rainfall or cyclones in the near future, and it actually has included a cyclone in that ramp-up period. So I'm quite confident that our modeling in terms of salt ramp-up and salt production includes the expected weather from our region. To the question whether it impacts FSOS if we have a big rain event in this period between now and end of December. Well, good thing is so far, this particular season, we haven't had any cyclones. Of course, it doesn't mean there's not going to be a cyclone. Even if we have a cyclone, we have considered that in the process, and there is buffer in our schedule to still be able to deliver first shipment for revenue before December is out this calendar year. I would also say is we've experienced 2 cyclones not long ago, and some of those on the line might recall that. Not long ago, we had Cyclone Sean in that region. That had actually quite a significant impact in our area. And the good thing is that it validated that our design prevents overland flow water to enter into the ponds, and only the water you only receive in that area is falling on the ponds. Now we have a specific design feature to accommodate that. So once the ponds reach operational height, we have areas where this water discharges as natural process into the ocean. And as you can imagine, when you have water density very high and you've got rainfall at lower density, the lower density water is lighter, it stays on top. So you have this effect of laminating effect of the fresher water on top and that then discharge into the ocean while minimizing the dilution of our high-density brine in pond 9 particularly.
Unknown Executive: Thank you, David. We might finish on one last question for you, Steve. You shared a really interesting insight onto the market. Can you tell us because Mardie is expected to deliver a significant volume of salt to the market, do you expect this will flood the market and push the price down?
Steve Fewster: No, I think the timing of when we ramp up aligns very nicely with the -- the new chlor-alkali and new soda ash plants that are being constructed at the moment. So as I mentioned, about 10.2 million tonnes of new salt requirements in the Asian region at the same time as we're ramping up. So I think, firstly, that certainly supports our confidence. A lot of that production, new production that's coming into the region is actually, as I mentioned, is replacing production that's occurring in Europe. And over the last couple of years, we've certainly talked about the demand for salt largely reflects global GDP. So the global GDP still holds. There's still a high correlation between demand for salt and that growth. But that shift, that structural change with plant, chlor-alkali plants shutting down in Europe, relocating and building that capacity in the Asian region is certainly very helpful. The question earlier around rainfall is -- equally applies to other regions. And what we're seeing, particularly in India and the Gujarat region, is their rainfall, on an annual basis, has been increasing steadily. So the net evaporation rate is consequently reducing, which is also reducing the amount of salt that they're able to produce. So the yield that's coming out of India certainly been affected over the last 3, 4 years is the weather is affecting that yield. The other thing that's happening in India, though, is 2 of the world's largest chlor-alkali plants under construction there. So one has been constructed by Adani. The other is being constructed by Reliance Group. So those 2 plants are being set up specifically for the plastics industry or the PVC industry in India, and that is to build plumbing supplies and household -- for household construction. And so it's very new demand that's coming in the market. We expect that about 8 million tonnes per annum of salt that's being exported will need to be redirected into that Indian market. Modi has also set some policy -- put some policies in place, restricting the expansion of salt production in India. So at Gujarat region, they're not allowing any more permits to be issued for new salt projects. So we think in the medium term, certainly, there are a number of factors that support our enthusiasm and confidence where the salt market, the high-grade industrial salt market is heading.
Unknown Executive: Great. Thanks so much, Steve, and thank you, David, for your time as well. And thank you to everyone who have dialed in today. That's a wrap.
Steve Fewster: Thank you.
David Boshoff: Thank you.